Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good day, everyone, and thank you for joining us to discuss Equity LifeStyle Properties' First Quarter 2022 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President, CFO; and Patrick Waite, our Executive Vice President and COO. 00:19 In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release.  As a reminder, this call is being recorded. 00:39 Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the federal securities laws. Our forward-looking statements are subject to certain economic risk and uncertainty. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. 00:57 In addition, during today's call, we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings. 01:14 At this time, I'd like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: 01:20 Good morning, and thank you for joining us today. I am pleased to report the results for the first quarter of 2022. We continued our record of strong core operations and FFO growth with the 14% growth in normalized FFO per share in the quarter. At the core of ELS strategy is a commitment to quality, we have built our organization focused on high quality team members’, properties, cash flow and capital allocation. The result of this shared focus is sustained value for our residents, customers and shareholders. Our properties are well located in areas where the demographic trends create tailwinds for ELS. We focus our acquisition strategy on increasing our concentration of assets in high demand markets for the baby boomer population. That strategy continues to bear fruit as we see outsized demand and population growth in our key operating states. 02:09 Our high-quality cash flows are reflected in our reported results and historical trends. The quality of our cash flow is seen in our annual revenue stream. Our long-term relationships with our customers and our manufactured home communities, RV resorts and marinas are one of the hallmarks of our success. The average tenure of our manufactured home residence is over 10-years. Within our RV resorts, we see customers return for generations as they pass along the campaign tradition. 02:38 During the quarter we saw our new home sales increased 36%. The primary driver of the new home sale volume increase with our Florida sales program where we saw an increase in the volume of over 100%, the increased demand for living in Florida is seeing an increased home sales, occupancy and lead flow. Over 95% of these new home buyers were cash buyers. This investment is consistent with our entire portfolio, as its vast majority of our residents have made a capital commitment to live in our communities. That commitment from our homeowners results in pride of ownership and a long-term resident base. 03:14 Core RV revenue increased over 21% in the quarter, driven by the rebound of seasonal demand in the South and the West as we welcomed back our Canadian guests and our domestic customers were able to travel without restrictions. Our first time transient customers from last year showed a desire to strengthen their relationship with us with 15 -- 18% becoming an annual seasonal or member. Our internal surveys, as well as RV industry surveys support our view that our customers are looking forward to spending outdoors and our properties. The internal survey results indicate that the desire to be outdoors affordability and safety are the primary reasons for planning to camp more this year. 03:54 Our flexible work environment has propelled interesting campaign with two out of three RVs indicating that having a flexible work in an remote environment influence their decision to camp. We consider it a great responsibility to own and operate lifestyle-oriented properties among diverse landscapes and natural habitats and to ensure our properties remain desirable destinations for future generations. We focus on improving the environment within our footprint and we -- and will continue to focus on preserving the natural amenities and biodiversity at our properties. 04:26 I wish to express my gratitude to the entire ELS team for another great quarter. Our operating team will now turn their attention towards the summer season properties and will focus on delivering excellent customer service to our residents, members and guests as they explore our properties this summer. 04:41 I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: 4:46 Thanks, Marguerite and good morning everyone. I will review our first quarter 2022 results and provide an overview of our second quarter and full-year 2022 guidance. First quarter normalized FFO was $0.72 per share, strong performance in our core portfolio generated 9% NOI growth for the first quarter contributing to normalized FFO per share growth of 13.8%. 05:11 Core community based rental income increased 5.6% for the quarter, compared to 2021, rate growth of 5.1% exceeded our expectations. Growth in occupancy generated the additional 50 basis points of core MH rent growth, compared to last year. Our first quarter core occupancy increase included a gain of 191 homeowners. The continued strong demand for home sales has reduced inventory available for rental as we have focused on growth in occupancy from home sales. Our rental homes currently represent 4.8% of our MH occupancy. 05:48 First quarter core resort and marina base rental income increased 21.4%, compared to 2021. On a full-year basis more than 75% of our resort base rent is generated from long-term annual and seasonal stays and 99% of our marina rents are from annual customers. Rent growth from annuals in the first quarter was 8.6% with 5.5% from rate increases and 3.1% from occupancy gains. 06:18 First quarter rent from core RV seasonal increased 65%, compared to first quarter 2021, which was impacted by the Canadian border closure and other travel restrictions. Core rent from transient customers increased 21.2% for the quarter, consisting of 11% from rate and 10.2% from occupancy. For the first quarter, the net contribution from our membership business was $17.4 million, subscription revenues increased 11%, reflecting a 5.3% increase in the member base and a rate increase of 5.7%. 06:54 The increase in average rate includes the impact of dues related to our Trails Collection product, which provides access to RV properties. At the end of the quarter 21% of our members held a Trails Collection pass, this compares to 13% at the same time last year. The increase in subscription revenues compared to last year offset the reduced contribution from upgrade sales following the introduction of the new adventure product last year. We continue to see steady demand for upgrades, including the adventure product. 07:25 During the first quarter 2021, the adventure upgrade represented almost 25% of our upgrade sales. The average upgrade sales price was 9.4% higher than last year. Core utility and other income increased 12%, mainly as a result of increases in utility income and real estate tax pass-through’s. Utility expense was the largest contributor to core property operating expense growth. We've added a table to our core income from operations page in the supplemental that shows utility income and expense with the recovery rate for the first quarter, compared to the first quarter last year. The recovery rate we achieved in the first quarter of 2022 is consistent with our long-term historical experience. 08:11 Increases in repairs and maintenance expense, compared to last year are attributed to repairs to property utility system infrastructure, building and common area maintenance, and snow removal following events in the Midwest and Northeast. In terms of property payroll, staffing levels were consistent with prior year. The payroll expense increase was mainly the result of wage increases along with a modest increase associated with overtime hours and temporary staffing to cover open positions. 08:41 Core property operating revenues increased 9.5%, compared to the midpoint of our guidance of 7.6%, while core property operating expenses increased 10.3%, compared to the midpoint of our guidance of 7.9%, resulting in core -- in growth in core NOI before property management of 9%, compared to the midpoint of our guidance of 7.4%. 09:05 Our non-core properties contributed $10.5 million in the quarter, this group of properties has performed in line with our pro forma underwriting expectations. The first quarter represents approximately 30% of our full-year NOI expectation for this group of properties. Property management and corporate G&A were $30.2 million for the first quarter, other income and expenses net which includes our sales operations, joint venture income, as well as interest and other corporate income was $6.5 million for the quarter and interest in amortization expenses were $27.5 million in the quarter. 09:42 The press release and supplemental package provide an overview of 2022 second quarter and full-year earnings guidance. As I provide some context for the information we've provided keep in mind my remarks are intended to provide our current estimate of future results. All growth rates and revenue and expense projections represent midpoints in our guidance range and are qualified by the risk factors included in our press release and supplemental package. 10:07 Our guidance for 2002 full-year normalized FFO is $2.73 per share at the midpoint of our guidance range of $2.68 to $2.78. We project core property operating income growth of 6.8% at the midpoint of our range of 6.3% to 7.3%. Full-year guidance assumes core rent rate growth in the ranges of 5.1% to 5.3% for MH and 5.9% to 6.1% for annual RV rents. We assume occupancy in our stabilized MH portfolio will be flat to first quarter. Our guidance model includes the impact of all acquisitions we've announced and the impact of the debt capital events we disclosed in our earnings release and supplemental package. 10:55 The full-year guidance model mix no assumptions regarding other capital events or the use of free cash flow we expect to generate in 2022. Our second quarter guidance assumes normalized FFO per share in the range of $0.59 to $0.65. Core property operating income growth is projected to be 3% at the midpoint of our guidance range for the second quarter, which represents approximately 22% to 23% of our expected full-year core NOI. 11:26 Our second quarter and full-year guidance assumptions include our expectations for combined seasonal and transient growth of approximately 4% and 14% respectively. The total sites stable in our supplemental package showed sites occupied by annual and seasonal customers, as well as sites available for transient stays, a comparison to last year shows that customer demand for longer-term stays has reduced our inventory available for transient stays. We expect the first six months of 2022 will generate approximately 51% of the full-year core seasonal and transient rental income. This compares to 2021, when approximately 46% of full-year core seasonal and transient rent was generated during the first six months. 12:12 I'll now provide some comments on the financing market and our balance sheet. As noted in the earnings release and supplemental package, we have closed on a $200 million secured debt refinancing at 3.36% for a 12-year term. Loan proceeds were used to repay all secured debt maturing in ’22, as well as to repay amounts -- all amounts outstanding on our line of credit. We are pleased with the execution of this refinancing as it further fortifies our rock solid balance sheet. In this time of heightened volatility and uncertainty, our debt maturity schedule shows that we have only 15% of our outstanding debt maturing over the next five years. This compares to an average of approximately 45% for REITs. 12:58 I'll also remind you that approximately 23% of our outstanding secured debt is fully amortizing and carries no refinancing risk. Current secured debt terms have moved significantly since mid-February, when we locked rate on our refinancing; current 10-year loans are quoted between 4.25% and 3.25% 60% to 75% loan to value and 1.4 times to 1.6 times debt service coverage. We continue to see solid interest from life companies and GSEs to lend for terms 10-years and longer. Well, we haven't tapped the CMBS market in some time, because pricing has been wide relative to our other options. We understand that market has been experiencing some instability. High quality age-qualified MH assets continue to command best financing terms. 13:47 In terms of our liquidity position, we have $500 million available on our line of credit and during the quarter we expanded our ATM program to provide $500 million of capacity. Our weighted average secured debt maturity is approximately 12-years adjusted for the impact of the refinancing, I mentioned. Our debt to adjusted EBITDA is around 5.2 times and our interest coverage is 5.7 times. We continue to place high importance on balance sheet flexibility and we believe we have multiple sources of capital available to us. 14:16 Now we would like to open it up for questions.
Operator: 14:21 Thank you.  Our first question our first question comes from Nick Joseph of Citi. Your line is open.
Nick Joseph: 14:38 Very much. Good morning. So I guess, I want to ask on the transient RV bookings and marinas and the impact from higher gas prices, and I recognize it's not a big part of the business relative to annual and seasonal, but just how those have trended? And how you are assuming that trend in guidance relative to what was previously assumed to guidance?
Marguerite Nader: 15:02 Yes, sure. Good morning, Nick. A couple of things, just as it relates to gas, I think we have a long history of transactions that really indicate that our customer will not differ a vacation, due to the price of gas, weather has really always been the more likely culprit for volatility inactivity and in reservation. But as it relates to the transient pace, I think it's helpful to point out that our RV transient revenue is really -- it's less than 7% of our overall revenue. And we focus our acquisition model over the years on long-term RV resorts. In 2020 as you see -- in 2021 as you see in our supplemental, we saw an increased number of RV resorts convert from transient to seasonal and annual. And then within that our core portfolio we have 1,100 fewer sites that are available for transient customers than we did last year at this time. 16:01 So as far as pacing, I think it's helpful, if we break down the reservation pace between the core properties that did not see a decline in the activity of available sites and that pace is really is 9% in the second quarter and 18% in the third quarter with the highest demand, I think we see in California and the North and Northeast properties. And maybe it's also helpful to understand some of the changes in the booking patterns that we're seeing and maybe Paul, if you could walk through those changes?
Paul Seavey: 16:31 Sure. So, Nick, I mean, when we think about the second quarter, historically, last year was a little bit different, but historically it's been a shoulder season at the transition from winter to summer shifts focus from those Southern to Northern resorts. And we’ve traditionally look to Memorial Day weekend as a gauge of demand as we kick off the summer season. The average advance booking window for transient stays is about 45-days. Within that average there are two pretty distinct customer groups, those that book 90-days out and those that book a few days before they arrive. The second quarter reservation pace for that group, that book’s earlier is higher than it was last year. So when we think about that, I mean, it's at a level that, that is reflective of the growth that we experienced in the first quarter. But at the same time as Marguerite mentioned weather is the key driver of decision making, so we're very mindful of the impact of weather and I'm not sure how it's been where you are, but in Chicago it snowed yesterday. So, April is proving to be a bit of a slow start to our second quarter, you know, and look back to the second quarter of 2019 we had a strong start to the quarter and then we had unfavorable weather patterns in May and June that negatively impacted the results. So there is a lot of dependence on the weather is the key takeaway.
Nick Joseph: 17:58 Makes sense, we unfortunately had snow yesterday too.  talked that…
Marguerite Nader: 18:03 You too far culprit, you know.
Nick Joseph: 18:06 I know it was 80 degrees on Saturday and snow on Monday. But yes, maybe just on the acquisition pipeline, I mean, with interest rates rising obviously cap rates across MH and RVs and marinas have compressed. How do you think about the relationship as rates rise, if they continue to rise or stay here? How much of a spread do you see in the private transaction market relative to those base rates?
Marguerite Nader: 18:33 we haven't seen any real change, I mean, last year our cap rates and this year too, our cap rates ranging from 4 to 6, it really hasn't changed much with high quality MH trading at the lower end and transient RV at the higher end. But I think that the meaningful change in cap rates that -- it hasn't happened yet, but as a result of interest rate movement we may see -- it may take a little bit time to work through the system and you may see more sellers that are not quite committed yet they -- and now they've become more committed as a result of this movement.
Nick Joseph: 19:08 Thank you very much.
Marguerite Nader: 19:10 Thanks, Nick.
Operator: 19:11 Thank you. Our next question comes from Brad Heffern of RBC Capital Markets. Your line is open.
Brad Heffern: 19:18 Hey, good morning everyone. In the past quarters, you've talked about the trend of weekend RVs days extending into the weak given people's freighter work flexibility. Has there been any change to that trend at all?
Marguerite Nader: 19:32 Sure, Brett. For the first quarter, we saw an increase of weekday nights of about 14%. Obviously, we're really now comparing similar time periods in terms of flexible work arrangements. But we still believe our properties will be an attractive vacation option for weekday activity and for those who are able to have flexibility in their work schedules.
Brad Heffern: 19:55 Okay, got it. And then a question on the OpEx guide, so the first quarter number was 10.3%, the second quarter guide 6.4%, and the annual guide is 4.8%. So I think if I'm doing the math right that would suggest some sort of like 1% to 2% growth number in the second half? I guess can you confirm that, that’s correct and also talk about what gives confidence and a significant deceleration there?
Paul Seavey: 20:19 Well, I think -- overall I think your math generally works, Brad. What I'd say overall with respect to our expense growth assumptions is we -- our process for preparing a budget, as well as our re-forecast is -- it's a bottoms-up approach, it's at the property level, figuring out what we expect the budget to be for the coming period and for the re-forecast adjustments to that budget. We then come back after we're completed with that and we review at a consolidated level and focus in, I'll give you kind of specific guide posts to look at our utility payroll and R&M expenses, those three represent almost two-thirds of our expenses. And what we've seen over our long history is a strong correlation of those expenses to our revenues. So trades in a fairly tight band in terms of percent of revenues, and as we look at the experience that we had in the first quarter, we look at our comparison to first quarter last year and look at our year-over-year for the full-year we see that percentage remaining consistent.
Brad Heffern: 21:30 Okay, thank you.
Paul Seavey: 21:32 Sure.
Marguerite Nader: 21:33 Thanks, Brad.
Operator: 21:35 Thank you. Our next question comes from Michael Goldsmith of UBS. Your line is open.
Michael Goldsmith: 21:41 Good morning. Thanks a lot for taking my question. First, on the transient RV revenue, how much of that occurs in April? And as we think about the cadence of transient RV revenue through the period, are you able to kind of provide us like, because of the weather, how much the underperformance it is relative to last year, it's been over the first couple of weeks? And then where, kind of, you expect to be at the end of the quarter, so we can kind of get a run rate for how you would approach entering the third and the fourth back half of the year?
Paul Seavey: 22:19 Yes, I'd say you're diving into a level of detail that becomes challenging for us, Michael. The short answer I'll give is that the guidance that we have is based on our current pace, so it says it is clear as I can give for the second quarter, given what we understand, to be in our system have 4% growth that we provided is our guide again subject to what may happen in terms of weather. And then just beyond the second quarter, the third quarter represents almost 40% of our core transient rent for the year and we're projecting a mid single-digit growth for that. But as I said earlier in my previous answer, the booking windows in about 90-days out. So it's quite early for us to have good visibility into what we expect in the largest quarter that we have for the transient business.
Michael Goldsmith: 23:10 Got it. Just sort of clarify, it sounds like your guidance of 4% for the second quarter is based on the rate that you have seen, kind of, so far in combination with your forward bookings in the near-term when the weather has been less cooperative. Is that right?
Paul Seavey: 23:30 Yes. That's accurate.
Michael Goldsmith: 23:33 Got it and then as we think about what's implied in the back half. You just mentioned, mid single—digit, I think that's kind of like the -- how the math of your guidance plays out. Can you talk about kind of what your assumptions are that go into it, I think you talked earlier in the call about the impact of converting transient sites to annual. But can you talk a little bit more about kind of the trends there? And how you expect the rest of the year to kind of play out? And from the perspective, it sounds like the sites down, but then how much strength you expect on the rate side? Thank you.
Marguerite Nader: 24:16 Yes, I think we continue to see or could you maybe see us convert some transient sites to annuals and those are built into our budget. And we do think that we have some pricing power just as you consider what's happening with alternative travel activities, I think hotel rooms are up 40%, our airline tickets are up similar numbers and rental car rates are up similar percentages as well in terms of just being able to take vacation alternative options. So I think you'll see us continue to push rate where we see that taking place in the market and then converting some annual -- seeing seasonal sites and transient sites to annual.
Michael Goldsmith: 25:02 Thank you very much.
Operator: 25:06 Thank you. Our next question comes from Lizzy  of Bank of America. Your line is open.
Unidentified Analyst: 25:12 Hi, good morning everybody. I'm just wondering how much of the core NOI growth this quarter came from the marina’s portfolio? And what does that growth look like for the full-year, I think you all had mentioned 4% in the past call? Just if you could comment around expectation or general trends you're seeing within the marinas portfolio?
Marguerite Nader: 25:37 Sure,  (ph). I think, Patrick will take that and thanks for joining us on the call today.
Patrick Waite: 25:43 Sure, I mean, the marinas are performing well for us. We referenced it on consistently across earnings calls that the occupancy is stable. We're holding a 90%, we've had a slight pickup for the quarter. We feel like the demand profile is strong as well, we have surveyed our customers same, kind of, surveys that we had do outreach to our peers and more than 60% of our marina customers plan to spend more time on the water in 2022 than they did in 2021, so good demand profile. Our rate growth has been around 4% and that's tracking out about the same at the NOI level subject to some of the expense pressures that we see in the balance of the portfolio and things like insurance and real estate taxes.
Unidentified Analyst: 26:41 Okay, great. And my second question is just around rent regulation. So how much more of a concern is rent caps around, you're manufactured homes portfolio and we're seeing that continue to become more of a  for multi-family and single-family. Are you vary certain states or locations or even certain property type as you're keeping the issue of rent cap in mind?
Marguerite Nader: 27:17 Sure. Thanks, Lizzy. So we have over the years opposed rent control for many years and for -- as far the house -- our housing option, we do not see rent control making overall housing more affordable, it ends up really resulting in the price of the home increasing as the rental rate is decreased. But the net monthly impact is really the same for the prospective buyer. We really are working with the homeowners' associations to agree to a fair and reasonable rate that incorporates really any of the concerns that they have at the property and we think that's the best approach and we've been successful over the years, working with the homeowner groups to come to a meeting of the minds of what the rate should be. 28:04 I think over our 200 NH properties approximately 10% have mandated rent control and then there's others in states like, Florida that have regulations around rent increases under the terms of a prospectus. But really -- and you touch on other multi-family we are an unique -- in the residential space and that we've had ongoing long-term relationships with our homeowner base and we invest in our properties and our homeowner base is aware of the proposed increases well before they are implemented. So we're closely monitoring activity in all the states we operate in and working with national associations to make sure that the information about our industry and the rent increases is accurate.
Unidentified Analyst: 28:50 Great, thank you.
Marguerite Nader: 28:52 Thanks, Lizzy.
Operator: 28:56 Thank you. Our next question comes from Keegan Carl of Berenberg. Your line is open.
Keegan Carl: 29:01 Hey guys, thanks for take the time, kind of, going off of Nick's earlier question, just kind of given elevated gas prices, are you guys seeing any theater of extended stay at your resorts? If so, how do you think it will impact the number of trips taken this year? Do you think it will impact your pricing algorithms at all?
Marguerite Nader: 29:19 Yes. I think that the trips that are planned, I think I've mentioned this before, if everybody could go on mute, I think maybe we're getting a little bit of feedback here. So in terms of trips, I think, our average RV takes about -- it's about a 90-mile trip. So gas prices going up $2 isn't going to dramatically impact them in terms of the cost to travel to our locations. I do think that we have the ability to raise rates and you see us do that on a regular basis as we see demand increasing. And so that's what I think you'll see for the rest of the quarter and for next quarter as we see changes in -- on a market-by-market basis.
Keegan Carl: 30:14 Got it. Just changing gears here at your inflation, are you guys seeing any material impact on demand across your business lines? And I guess, kind of, similar to what happened last year, I mean how do you see your part time labor situation shaking out in the coming summer months?
Paul Seavey: 30:29 I think in terms of labor and expenses we've dialed into our assumptions for guidance for the remainder of the year, full employment, as well as market levels at our properties. I think that what we've experienced to-date has been some number of open positions, but across the portfolio, it's been fairly consistent at kind of a one position per property type level. So not expecting that to have a significant impact on operations over the summer.
Marguerite Nader: 31:08 And I think, Keegan, in terms of just rapidly rising rates and touching on mortgage rates, I think you’re thinking about our portfolio and the majority of our buyers are cash buyers, and we have 95% I think pay cash throughout in the four -- in the first quarter and that's consistent throughout our community. So they're not a big participant in the financing market.
Operator: 31:44 Thank you. Our next question comes from Samir Khanal of Evercore. Your line is open.
Samir Khanal: 31:49 Hey, Paul on --
Marguerite Nader: 31:50 Good morning, Samir.
Samir Khanal: 31:51 Hey, good morning. On the G&A front, and you did close to $2 million for the quarter. Is that the right run rate to think about it, I know we talked about sort of upward pressure on expenses just trying to think about the right run rate going forward here?
Paul Seavey: 32:04 Yes, I think the way that I think about -- we think about the property management and corporate combined, Samir, and I look at those and I think that on a combined basis we’re more in the range of, call it 10% to 11% growth over last year. It's primarily a function of investments in technology, as well as some increase that we've had in our staffing costs.
Samir Khanal: 32:32 So going forward, kind of, the balance of the year, you're thinking kind of that, so it's not going to be that $12 million will be sort of slightly lower you're saying?
Paul Seavey: 32:40 Right, right.
Samir Khanal: 32:42 Okay, got it. And then just looking at the income from rental home operations, it was down year-over-year, but ELS saw the total number of rental occupied sites were down, I think this were down about 600 site. Can you provide some color around that?
Patrick Waite: 33:00 Sure, it's Patrick our trend in -- really over the last, let’s say 24 quarters, I think we've had six quarters where we've increased renters. So long-term trend of increasing homeowners and decreasing renters and for the quarter year-over-year were down almost 600 rentals, down to 3,300 overall, so that that is our view of quality of occupancy and emphasizing long-term homeowners as opposed to renters and renters are -- there are part of the business and what we've seen across our portfolio is success in converting those rental homes to homeowners, roughly 25% of our new used home sales in the quarter were to a current residents either homeowners, who were either upsizing or downsizing their current home or renters who are purchasing home in the community.
Samir Khanal: 34:07 Got it. Thanks so much.
Marguerite Nader: 34:09 Thanks, Amir.
Operator: 34:10 Thank you. Our next question comes from Wes Golladay of Baird. Your line is open.
Wes Golladay: 34:16  I'd like to go back to that cash by your comment. I was just curious is when they go buy a house with cash is that dependent on them selling their primary home? Are these largely second home purchases?
Marguerite Nader: 34:27 It’s a bit of a two-step process, so a person will come down a kind of visit and maybe stay with us for a month they might rent as Patrick just mentioned. And they're generally coming up from the North, the Midwest or the Northeast and in the beginning, they will come down and either buy or rent in Florida or Arizona, but also have their home up North. It isn't for, you know, to a couple of years to five years later that they kind of decide that now they want to make our homes their permanent resident fee. So it's a little bit of a -- all of our residents are in -- our residents are in various stages of those that curve of either having made the decision to move down already and move their primary residency or maybe they continue to have two, if they're on the younger side.
Wes Golladay: 35:25 Okay, thanks for that. And then when we look at the transient seasonal maybe combined in the buckets. Are you at record occupancy right now? And is it maybe a structurally full occupancy, when you look at the balance of the year? Or do you still have a lot of room to push occupancy going forward?
Paul Seavey: 35:41 I think we still have room to push occupancy, I wouldn't characterize it as a lot of room, but the overall strategy to optimize our sites and retain some portion of transient as a feeder to our longer-term rental business, we will continue to see that as part of our business.
Marguerite Nader: 36:04 And I think one of the things we've highlighted that weekday camping has increased, but it's coming from very low level, so in terms of on the transient basis, we still have room for increase in the -- in that activity on the weekdays.
Wes Golladay: 36:21 Got it. Thanks everyone.
Marguerite Nader: 36:23 Thanks, Wes.
Paul Seavey: 36:24 Thank you.
Operator: 36:25 Thank you. Our next question comes from John Kim of BMO Capital Market. Your line is open.
John Kim: 36:32 Thank you. You had a very strong seasonal trends in RV quarter, you talked about the favorable backdrop. But your guidance for the year suggest a deceleration pretty significantly to 4% for the remainder of the year. So I'm just wondering why would this -- why wouldn't this be higher if you still see the ability to convert transient seasonal?
Paul Seavey: 36:55 I think a big part of it, John is, if you think about the seasonal business and the comparison year-over-year. Last year, you'll remember that we were short $8 million in seasonal rent in the first quarter. We recovered all of that to end up flat year-over-year in our seasonal business. So there is a recovery, so to speak, of the seasonality trend that we historically have experienced in the first quarter with the first quarter, representing 60%, almost close to two-thirds of our total full-year seasonal.
John Kim: 37:32 And so what do you -- where you expect as far as additional conversions from transient to seasonal? And can you remind us what the typical turnover rate if in your annual and seasonal RV customer?
Paul Seavey: 37:49 The typical turnover is 10% and with respect to a conversion, I think that the conversion rate that we have is really dependent on what we're seeing going into the summer season. I think that the winter season is a season when we -- we'll gain a greater talent in our seasonal business and the summer season tends to be a greater season for driving annual fill in our portfolio.
Marguerite Nader: 38:32 And this is a heightened level John of activity that we've really seen post pandemic or I guess during the pandemic where more people especially in the northern resorts are interested in using our properties as their second home vacation home, which resulted in an increase in annuals.
John Kim: 38:55 Okay. I got it. Thank you.
Marguerite Nader: 38:57 Thanks, John.
Paul Seavey: 38:58 Thanks.
Operator: 39:00 Thank you. Our next question comes from Anthony Powell of Barclays. Your line is open.
Anthony Powell: 39:06 Hi, good morning. Question on your -- good morning. Question on your rate growth guidance is up 40 basis points at the midpoint relative to last quarter. It was pretty healthy given you should have had or probably have some visibility on your rent increase as from late last year. So I'm curious what drove that increase in your guidance?
Paul Seavey: 39:25 Sure, Anthony. By the end of April, we will have sent rent increased notices to about 75% of our in-place residents. Those increases are consistent with our prior guidance and the rate is approximately 4.3%. We previously discussed at approximately 25% of our leases have tied to CPI and the remaining 75% are market-driven. We value our long-term relationships with our residents and we have a full appreciation of the interplay between their investment in the home they placed on our land and the rent they pay us. Therefore we exercised discretion with respect to the rates we charge in place residents, who are subject to market leases as compared to rents we charge new residents, making an economic decision based on current circumstances. 40:08 And maybe Patrick can walk through the process for setting those market rents, which have been the key driver of the growth that you're referring to.
Patrick Waite: 40:17 Yes, you know, the process for establishing market rates it starts at the core of our business with our existing residents we're monitoring housing costs, competing housing in our submarkets and that covers competing manufactured home communities, multi-family, single-family rental condos and others. And when we're having those discussions that Paul described with our existing residents it’s a -- that's a recurring long-term resident. On that new customer coming into our property and purchasing a home and that's roughly 10% turnover that as mentioned earlier in the call. Those incoming customers are shopping in the open market, they're looking at alternatives, they're choosing a purchase a home in one of our properties as Marguerite mentioned typically for cash. And they're moving in and agreeing to pay that market rate, which is kept current throughout the course of the year as we review those other market comparables.
Anthony Powell: 41:26  understand, basically it's driven more by new residents coming in at a more of a market rate, and I guess there’s more residents look to your product given affordability and desirability you could see further upsides that over time?
Marguerite Nader: 41:43 Yes, I think that, that's potentially true, it's really focused on what's happening at the local level in the market within those properties.
Anthony Powell: 41:54 Thank you. And I guess on acquisitions, the volume there is down year-over-year, I understand that it's competitive environment for all the segments. I was curious if you can just remind us what the current transaction environment is, availability, people's willing to sell, everyone is buying just mark to market there would be great?
Marguerite Nader: 42:11 Sure. This year, I think is really starting now with a similar pattern to what we've seen in the past, there's many highly marketed deal auctions, including the new term multiple best and final bidding rounds. I think the evolving interest rate environment could start to provide an incentive to sellers. But we're seeing consistent demand for the assets. But we have great relationships throughout the industry. So we'll continue to continue to look at MH, RV and marina deals and be able to update you as we close them in the coming quarters.
Anthony Powell: 42:58 All right, thank you.
Marguerite Nader: 43:00 Thank you, Anthony.
Operator: 43:03 Thank you. Our next question comes from  of Green Street. Your line is open.
Unidentified Analyst: 43:09 Hi, good morning, everyone, for taking my question.  on the MH business, given as the rising interest rate environment as margins  now. So what is that -- what is the appetite to expand your views  occupancy further upon the  levels?
Marguerite Nader: 43:31  thanks for joining us. I think a little feedback on our end, I don't know, maybe if you could mute as we thought if that's possible.
Unidentified Analyst: 43:41 Yes.
Marguerite Nader: 43:41  can you hear. Can you hear us okay?
Unidentified Analyst: 43:44 Yes.
Marguerite Nader: 43:46 Okay, okay, great. I would say as we long looked at the rental component as a way to increase occupancy at certainly and particular locations. But we always believe that to the extent that there is a market where we have ability to , we will want to do that and focus on the sales, but I think we've shown through the year that we have a proven operational plan for operating a large scale rental pools. So in the areas and times when we will have an inability to sell or there’s some other factors that make it difficult to sell, we would so to kind of our plan B is operating on the -- adventure pool.
Unidentified Analyst: 44:35 Thanks. That’s makes sense. And then on to your operational expenses, I wanted to  utility cost, so are those ways that you can increase the share of utility cost that you pass on to customers to offset, I guess pressure you are seeing in that cost line?
Paul Seavey: 44:55 There are -- Robin  and I'll ask, I’m not sure if you're able to mute your line, there is a tremendous amount of feedback coming. But with respect to utilities, we do have a process whereby we review opportunities to separate utility charges from rents and direct full our resident, if we pursued that across the portfolio and we do still have some opportunities, although there are far fewer than they've been in the past. I think that one area of focus that potentially remains is shorter term stays in our transient business. But regarding the overall recovery that we started to show, I do want to just refer back to the remarks that I made that 46% recovery that we're showing in the quarter that is consistent with our long-term historical average.
Unidentified Analyst: 45:58 Thank you.
Paul Seavey: 45:59 Thank you.
Marguerite Nader: 46:00 Thank you, Robin.
Operator: 46:05 Thank you. Since there is no more questions on the line, at this time, I’d like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: 46:13 Thank you for joining us today. We look forward to seeing you at NAREIT, and updating you on our next quarter call. Thank you very much.
Operator: 46:21 Thank you, ladies and gentlemen this does conclude today's conference. Thank you all participating. You may now disconnect. Have a great day.